Operator: Good morning. My name is Jessica and I will be your conference operator today. At this time, I would like to welcome everyone to the RenaissanceRe Third Quarter 2015 Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Mr. Peter Hill, you may begin.
Peter Hill: Good morning, and thank you for joining our third quarter 2015 financial results conference call. Yesterday, after the market closed, we issued our quarterly release. If you didn’t receive the copy, please call me at 212-521-4800, and we’ll make sure to provide you with one. There will be an audio replay of the call available from about 1 PM Eastern Time today through midnight on December 5th. The replay can be accessed by dialing 855-859-2056 or +1404-537-3406. The pass code you will need for both numbers is 56565254. Today’s call is also available through the investor information section of www.renre.com and will be archived on RenaissanceRe’s website through midnight on January 14, 2016. Before we begin, I’m obliged to caution that today’s discussion may contain forward-looking statements and actual results may differ materially from those discussed. Additional information regarding the factors shaping these outcomes can be found in RenaissanceRe’s SEC filings to which we direct you. With us to discuss today’s results are Kevin O’Donnell, President and Chief Executive Officer; and Jeff Kelly, Executive Vice President and Chief Financial Officer. I’d now like to turn the call over to Kevin. Kevin?
Kevin O’Donnell: Thanks, Peter and good morning, everyone. First, I’ll begin with an overview of our performance in the third quarter. Then I’ll turn the call over to Jeff to go over our financial results and then I will come back on to talk about the business and the state of the market. I’m pleased to report operating income of $117 million and an operating return on equity of 10.7%. We are executing well across our businesses. While the U.S. once again did not experience a hurricane land fall, we had some loss activity, primarily related to the Tianjin explosion. Negative investment returns also caused mark-to-market losses on our investment portfolio. In Managed cat, built an industry leading portfolio and have continued to extend our leadership position in that market. It has been only eight months since we close the Platinum transaction and we are one team with one vision. One shared view of risk and one global approach to the business. Not only did we successfully renew the combined books of business, but since the close we have achieved over $100 million of organic growth in our casualty and specialty lines. Over time we expect casualty and specialty to play a more prominent role in our portfolio. Although our capital and our returns will continue to be driven by our more volatile property cat book. This is the time of the year that we focus from building and managing our in-force portfolio to planning for the New Year and making decisions about how to structure our risk portfolio. Given our strong capital position our focus will be less on raising capital and more on selecting the best counter parties in the industry, being a valued partner just as we have always done throughout our history. Capital has been and continues to be plentiful. While attractive risk remains elusive and we fully expect both of these trends to persist in 2016. We expect a challenging our operating environment in both property cat and casualty and specialty in 2016. Our experience and capabilities working with clients and brokers through challenging markets gives us confidence that we can navigate 2016 successfully and maintain our leadership position. Additionally, we now have enhanced capabilities to find and underwrite new coverages across all lines ceded by our partners. Actual returns in the property and casualty market place have been significantly above expected returns over the last several years. The lack of large catastrophic events and an overall benign claims environment for liability lines have held the actual returns in both property as well as casualty classes. It is not rational to expect actual returns to outperform expected returns over the long-term. However, we remain somewhat surprise that the newer capital attracted to this market appears to be focused more on track record than on modeled returns. Regardless of your focus, we are in a soft rate environment in all returns expected or actual will almost certainly degrade next year. This is one reason we are not planning to grow any of our joint venture vehicles. Testament to the strength of our balance sheet is the record level of share buybacks in the third quarter and the expectation that for the fourth straight year we will return capital to our DB shareholders. We head into 2016 with our team’s capital infrastructure in place. So we’ll pivot our focus to increasing the depth of our relationships with each of our partners. We’ve had great discussions with them in this regard and know that they understand and appreciate our value proposition. Equally as important they want to do more with a reinsurer that is not actively competing against them in a market already a wash with capital. And with that I’ll turn the call over Jeff.
Jeff Kelly: Thanks, Kevin and good morning, everyone. I’ll cover our results for the third quarter and year-to-date and then give you our initial top-line forecast for 2016. As Kevin mentioned, we had a solid third quarter with strong profitability across our catastrophe and specialty reinsurance platforms. With the exception of the Tianjin explosions this again was a relatively quite quarter in terms of catastrophe losses. We booked a $26 million net negative impact on our corporate results for the Tianjin event. There is still a significant level of uncertainty around eventual exposures for the industry. A large part of our exposure for this event relates to assumed retro exposure. So our ultimate losses will take longer to emerge. The volatile investment environment also hurt financial results resulting in mark-to-market investment losses. Favorable reserved development across each of segments was certainly a contributor to the overall results. During the third quarter we resumed capital management with over $200 million of share repurchases. Restored capital and liquidity at our holding company coincided with what we felt was an opportunity to buyback our shares at attractive prices. Turning to our overall results. We reported net income of $76 million or $1.66 per diluted share and operating income of $117 million or $2.58 per diluted share for the third quarter. The annualized operating ROE was 10.7% and our tangible book value per share including change in accumulated dividends increased by 1.3%. On a year-to-date basis the operating ROE was 11% and growth in tangible book including change and accumulated dividends was 2.7%. Let me shift to our segment results beginning with our cat segment followed by specialty reinsurance and then Llyod’s. In our cat segment, managed cat gross premiums written in the third quarter were up relatively to a year ago and totaled $90 million. While the third quarter tends to be a light one in terms of renewals we did find some select opportunities for growth. For the first nine months managed cat gross premiums written declined 6%, primarily reflecting softening market conditions and repositoning of our book. As a remainder managed cat includes the business written on our holding own balance sheets as well as cat premium written by joint ventures DaVinci top layer Re and Upsilon. Net premiums written for the cat segment increased 2.5% for the first nine months of the year, primarily reflecting reduced purchases of retro reinsurance from a year ago. The third quarter combined ratio for the cat unit was 37.5%. Our catastrophe losses were moderate overall, there was an uptick in smaller loss activity. Loss results for the cat unit included $22 million of claims for the Tianjin explosions. Net favorable reserve development totaled $14 million for the cat unit in the quarter, mostly reflecting modest adjustments to a number of smaller events. In our specialty segment gross premiums written increased by $145 million, primarily reflecting the inclusion of Platinum’s specialty and casualty business as well as select growth in our U.S. and Bermuda platforms. Our top-line was also impacted by the restructure and renewal of a single large multi-year reinsurance contract, which increase premiums booked in the quarter by $40 million. Year-to-date specialty reinsurance premiums increased 82% from a year ago. This compares with our guidance of a 50% increase for the year. Our specialty platforms are well integrated and our combined underwriting capabilities have been well received by the market. So while market conditions overall remain difficult, we have been able to leverage our strong franchise, ratings and balance sheets to grow selectively with key clients. The specialty reinsurance combined ratio for the third quarter came in at a profitable 74.5%. Loss trends were generally benign, although there were a few large individual events that are worth highlighting. We booked $9 million of claims for the California wildfires and $8 million for the Tianjin explosions. Favorable reserved development was strong totaling $56 million in the quarter and related primarily to generally favorable claims experienced for prior years. The restructure and renewal of the multi-reinsurance contract I mentioned earlier resulted in us booking $10 million of reserved releases in this segment. For the nine months the segment generated a combined ratio of 79.6%. In our Lloyd’s segment we generated $74 million of premiums in the third quarter, an increase of 15% compared with a year ago period. For the first nine months of the year gross premiums written grew 46%. Our Lloyd unit continues to gain traction in the marketplace, benefiting from the investments we’ve made in people technology and infrastructure in the past few years. Our premium guidance for this segment was growth of 50%. As we have grown we have maintained strong control over our underwriting and risk management processes. In fact we use the same gross to net risk management framework for our specialty and Lloyd’s business as we do for cat reinsurance. Thus while gross premiums are up meaningfully, ceded premiums are also up. Net premiums written out at our Lloyd’s unit are up 23% for the first nine months of the year. The Lloyd’s unit came in at a combined ratio of 112% for the third quarter. We booked losses of $7 million related to a few individual losses. Favorable reserved development totaled $1 million. The expense ratio was higher than a year ago due to lower premiums earned as a result of more ceded premiums and slightly higher commission and operational expenses. While there is still some important financial system integration underway, the Platinum integration is largely behind us. We incurred a little over $3 million of integration related cost in the third quarter included in the corporate expenses line and that was very much equal to our expectation. Turning to investments, we reported net investment income of $28 million in the third quarter. Recurring investment income totaled $37 million for the third quarter. The increase relative to recent quarters primarily reflects the higher invested assets acquired in the Platinum transaction as well as the reallocation of Platinum’s fixed maturity investments to match ours. That reallocation is largely complete at this point. Our alternative investments portfolio generated a loss of $7 million in the third quarter. This was driven by negative marks of approximately $15 million in the value of our private equity investments due to equity market volatility during the period. The annualized total return on the overall investment portfolio was a negative 0.6% in the quarter. Decline in treasury yields were offset by higher spreads for many other riskier investment classes. Our investment portfolio remains conservatively positioned primarily in fixed maturity investments with a high degree of liquidity and modest credit exposure. The duration of our investment portfolio remained relatively short at 2.3 years and has remained roughly flat over the course of the last 12 months or so. The yield to maturity on the fixed income and short-term investments was slightly higher at 1.9%. In terms of our capital position, as we indicated on our last conference call we have completed the process of realigning our balance sheet and maximizing our flexibility by moving liquidity to the holding company. During the third quarter we bought back 1.9 million shares for a total of $203 million. Since the end of the third quarter we repurchased an additional 286,000 shares for $31 million. We were able to repurchase shares at what we believe were particularly attractive valuations during the market sell off in the third quarter. As we look forward any decision relating to share repurchases will as always dependent on our view of business opportunities, the profile of our risk portfolio and the valuation of our stock. Finally, let me provide you with our initial top-line forecast for 2016. For managed cat we expect the top-line decline of 5%, in specialty reinsurance we expect the top-line to grow 20% and in Lloyd’s we expect continued growth of 20%. Finally, I would remind everyone that the premium estimates of this nature are subject to considerable risk and uncertainty, our goal in providing them is to give you our best estimates at this point in time. With that I’ll turn the call back over Kevin.
Kevin O’Donnell: Thanks, Jeff. For the 10th consecutive year latest news to report in the third quarter is what didn’t happen. Specifically there wasn’t a U.S. land falling major hurricane or any U.S. land falling hurricane for that matter. The odds of this long of a lucky streak occurring is less than 1% and in fact it’s statistically more remote than odds of the 2004 or the 2005 storm years. Of course there have been hurricanes and hurricane Joaquin, which was the strongest Atlantic hurricanes since Igor in 2011 affected the Bahamas this year. Just as easily could have struck anywhere along the East Coast of the U.S. In the Pacific hurricane Patricia made landfall in Mexico recently as a major hurricane. So the storms are out there and it’s only a matter of time before one strikes the U.S. and actual returns mean revert to expected returns. To be clear our market leadership is not predicated on lock, but rather based on underwriting discipline which means continuing to behave the way we always have, listening to clients to develop the spokes solutions, continuing to enhance our risk analytics and matching desirable risk with efficient capital. We continue to work hard to provide capacity to our clients despite a deteriorating price environment. Here discipline takes the form of not just saying no, but rather responding no but. We prefer to talk about the deal we would be willing to do instead of simply rejecting the deal is offered. This often leads to good conversations and outside of the box solutions. We have done multiple one of a kind deals over the last several years, including in the third quarter that brought unique capital efficient solutions to our customers and desirable risk to our portfolio that would not have incurred had we just said no. We also exercise underwriting discipline in more traditional ways. As discussed on the last call, in the second quarter we re-positioned our portfolio when pricing no cleared our hurdles. That said it is our preference to continue providing capacity to our clients and we will work hard to deliver solutions wherever if continues to make sense. We have and will maintain leadership in the property cat market and thanks to the Platinum acquisition and our Lloyd’s operation are growing in some non-cat property line such as property per risk. These other property markets are also very competitive. But we were finding opportunities for growth by looking through a lot of deals and starting from a small base. In our casualty and specialty business we were able to identify new opportunities and achieved solid growth, which was a result of the larger unified team working together to leverage our tools and underwriting skills across the combined book. We now offer casualty and specialty products on five balance sheets across our integrated global platform and continue to develop our reputation as a lead market in more lines of business. We believe we are increasingly a first call market across the casualty and specialty space. The only true test of success of the casualty and specialty platform will be the results over time. We have great underwriters with great tools and strong discipline underwriting on very efficient platforms. This is the same winning formula that has been the foundation of our success in property cat and we expect industry leading returns in this business as well. As I have said many times in the past we only add business to our portfolio when it make sense on a standalone basis. On a marginal basis however we can often write profitable business in the casualty and specialty space without increasing economic capital, adding expected profit and theyby improving overall results. It also makes us more relevant to our core clients as we can offer a full suite of products. Our Lloyd’s syndicate experienced solid top-line growth for the quarter. The combined ratio came in higher than anticipate due to a few specific events and a higher expense ratio due to an increase in our sessions. Going forward we anticipate more opportunities to grow in our Lloyd’s syndicate and consequently we are finding new and creative ways to enhance the syndicate returns by using retro and other sources of capital. On each of our platforms we expect from time-to-time to have quarters that are disproportionally impacted by loss and should additional opportunities be created we will be ready to exploit them. We believe we have significantly more scope for growth in Lloyd’s and remain committed to investing in the ongoing success of this franchise. The third quarter was relatively quite for our ventures group. We are constantly seeing and evaluating new strategic investing opportunities. However there is already more capital than required for the risk in this business and we have set a very high hurdle for any deal that brings additional capital to the market. One of our core skills is knowing how much capital we can deploy while still achieving our target returns and at this time we are far more inclined to return capital to investors than to accept new capital. In the current pricing environment and with relatively flat demand for property cat. Managers accepting new capital entering the business are competing on price alone to deploy each new dollar. In a more competitive environment this new capital is sure to bring lower expected returns. As a manager we eat our own cooking and treat our partners capital as if it’s our own, which is why we will continue to be a first core market for capital providers looking for attractive risk. The last 10 years have seen great upheavals and unprecedented changes in the arrangement of reinsurance industry. We had one of the hardest property cat markets and are currently experiencing one of the softest. We lived through the great recession and are still burden with its low interest rates. Capital continues to flow into our market resulting in increased competition for risk and falling rates. Actual returns continue to outstrip expect due to a historic hurricane drought and benign liability environment. Everyone looks like a good underwriter when there are no losses, this will change. The next 10 years will be different and we have the franchise best suited to adapt to the changing market. We believe our strategy and execution to-date have been correct. We have built leading franchises in key markets and now need to focus on consolidating positions with core clients. We will accomplish this by saying yes when we can, no but when we can’t and by continuing to match desirable risk with efficient capital. Thanks and at this point I’d like to turn the call over to questions.
Operator: [Operator Instructions] Your first question comes from the line of Vinay Misquith with Sterne Agee.
Vinay Misquith : Hi, good morning. The first question is I’m going to get some guidance. So you said a 5% decline in property cat. Does this already include the Platinum book which was not part of your results last year’s fourth quarter? And also for the specialty lines, up 20% as it already include the Platinum from last year.
Kevin O’Donnell: Yes, the answer Vinay is that those are you should look at those forecast over the total premium obviously booked in this year. The only quarter that there wasn’t a full complement of Platinum premiums on our books was the first quarter. So it’s a little bit of a noisy comparison. But yes all the forecast are essentially versus 2015 levels.
Vinay Misquith : Sure. So on the property cat side it appears that we are close to forming a bottom. Curious as to why you have down 5% when you have the first three months of Platinum also in your book? Could you help us understand what’s happening in the property cat market and also on the BCAR side, whether you think there will be higher demand? Thanks.
Kevin O’Donnell: Let me start with the BCAR and the higher demand. I think with regard to A.M. Best model, it’s a model that we’re familiar with and we will work with our customers to figure out the right solutions. To be clear this is not what happened in the post Katrina, Rita, William type change where we expect to see a material shift in purchasing based on the new model being rolled out. But we do think with specific customers it will change the way that they want to purchase coverage and we’ll work with them to figure out the best coverage that they can afford to buy. With regards to the overall rates in property cat we think just very clearly that 2016 will be a more challenging rate environment than 2015, there is too much capital and there is too little risk. We think the rate of reduction is slowing, but there are still be rate reductions. Specific with our guidance we do include rate change, but we also include portfolio construction changes. So for instance we might be writing a bottom layer on a program and move to a top layer or top layer move to a bottom layer because we think the marginal return on those changes are beneficial to the overall portfolio. Net-net at the end of the day we built a pro forma portfolio that both on a gross and net basis we like and we do have a continued strong appetite for cat risk. But that’s always tempered with strong underwriting discipline making sure we are deploying capital only when it makes sense.
Vinay Misquith : Okay, that’s helpful. And just on the BCAR once again, would it be fair for us to assume that higher demand if any would come on the high layers and therefore the, I mean the premium dollars may not be as much?
Kevin O’Donnell: If we take the A.M. Best model I think it’s first important to think that it doesn’t affect everybody. It’s a largely -- it's a model that’s largely adopted within the U.S., but even within in the Florida market it doesn’t have the penetration that it does outside of Florida. I think the way in which they are thinking about the world going forward makes a lot of sense to us and I think the way people will buy will be very much based on the construction of their portfolio where the one in a hundred product may be replaced by aggregates or other products for top and drops depending on what is most suitable for them to address the BCAR issues that they may have. I don’t think it’s going to be one -- kind of a one solution fits everyone as the new model rolls out over of 2016.
Vinay Misquith : Okay, fair enough. And just one last question on the capital margins. First of all, I think you guys did a great job by buying significant stock at a very low price, so super. But just sort of looking forward, do you think you can buy back 100% of earnings for this year? And also as you look into next year, can you add on premiums? Because you’ve said you’re going to do about 20% more premiums in specialty and large. So would it be fair to assume that you don’t need any capital for those premiums for next year?
Jeff Kelly: Vinay, let me start with the fourth quarter, I think essentially asking if we are prepared to buyback earnings for the year. I just think it's a little too early in fourth quarter to make any specific predictions about how many shares we’ll buyback. You are right, the pace of share repurchase in the third quarter was significant and that was driven by what we thought was a particularly attractive opportunity and I think that that MO was very consistent with our long-term behavior regarding share repurchases in that we tend to be more aggressive at more attractive prices and we tend to slow down a bit when they are not. Overall our process for evaluating the return on excess capital hasn’t changed and I would urge everyone to look at it on the long-term not on a quarter-by-quarter basis. But suffice it to say as we enter this period of time we still think we have a very strong capital position. And as I said the way we think about it is the first thing we look at is the outlook for the business, the profile of our risk book and then the relatively attractiveness of our shares as a consideration set.
Vinay Misquith : Throughout the next year?
Jeff Kelly: For next year, I think and just in terms of as Kevin mentioned the way we construct our economic capital model the specialty casualty business that comes on the book we look at as diversifying. So by and large we would assume would have a very minimal capital requirement.
Vinay Misquith : Excellent, that’s what I thought. Thank you.
Kevin O’Donnell: Thanks.
Operator: Thank you. Your next question comes from the line of Josh Shanker with Deutsche Bank.
Josh Shanker: Yes, thank you. You know, this is going to maybe sound a little difficult to compare, but I feel like one of the great seminal moments in RenaissanceRe’s history was following the tragedy of September 11, that you didn’t have much exposure because you really weren’t being paid to take that exposure and others didn’t understand that situation. When I look at a loss like Tianjin, is that a loss that you’re being compensated adequately to take? Is this a loss that we should be surprised that RenaissanceRe has exposure to?
Kevin O’Donnell: Thanks, Josh. I think going back to September 11th is interesting in that, our book is constructed very differently and the reasons we missed September 11th was because we weren’t writing lines outside of property cat and we were underweight in the North East within property cat. Looking at the Tianjin loss, we are getting the loss from several different places, but a big component of it is coming from our retro book. So within our retro book I think is largely been a non-U.S. book and it’s the construct of adding diversifying risk to our U.S. property cat exposure is the same now as it was in 9/11. So I don’t think it’s surprising that we are getting Tianjin loss. But I do think it is important to note that as we have a broader appetite for risk we are likely to see when we participate in losses differently than the way we participated losses in the past. Your second question is were we paid adequately for the risk and the answer to that is yes.
Josh Shanker: And as the business evolved, I think, and I’m probably going to mischaracterize it, and please correct me, but I think one of the seminal RenRe ideas is that diversification is not always a benefit. As the business becomes more broad, are we in a part of the cycle where diversification suddenly becomes naturally beneficial where it necessarily hadn't been in the past when you could achieve 30% ROEs?
Kevin O’Donnell: Okay. So that is a complicated question. Diversification is beneficial if you are paid appropriately on a standalone basis. So for the idiosyncratic risk that you’re taking within a specific session. Are you paid enough for that volatility is the first clearing hurdle? If the answer to that is yes, and then you added to your portfolio, you should have a benefit above the standalone return. The next question is does that diminish or increase the returns of the overall portfolio, or does it change the risk profile and opt to compensate you for adding it to the portfolio. The calculations that we do today are exactly the same as the calculations we have done in the past. So we are not looking to bring on diversification for the sake of diversification, we are looking to continue to create an optimal portfolios. The other thing I’ll say is we have no negative correlations within the risk that we assume. So I think some people will bring on negatively correlated business to a portfolio, which again will create capital on a marginal basis, we don’t do that.
Jeff Kelly: I would just add and perhaps to sneak the obvious, but to emphasize what Kevin said, we only look at profit as diversifying. So when Kevin said it’s got to be standalone profitable. It’s adding diversifying premium we don’t view as creating capital only expected profit diversifies for us.
Josh Shanker: Okay, that makes sense. And finally on the comment that you don’t expect to expand your joint ventures this year because pricing isn’t adequate, I assume that’s a reputational decision. That you don’t want your customers to be buying inadequate protection and ruin your reputation as a writer. Am I understanding that correctly?
Kevin O’Donnell: I would actually turn it a little bit the other way and it’s -- our objective is really to be seen as best underwriter particular the best underwriter property cat with regard to third party capital. So to the extent that some there is a mandate that we don’t believe is provides adequate returns to the risks that’s taken regardless of the cost of capital, we don’t think it’s prudent for us to arbitrate between that risk and that capital. So our view is that we want to be paid for underwriting expertise and that underwriting expertise will bring good risk to whichever efficient capital we decide is the best pool to put it to.
Josh Shanker: And would that assume that you might want to return capital at this point? Can you return capital at this point or is there a lock up rate?
Kevin O’Donnell: We have the ability to return capital and one other things that I said in my comments, I think we are likely to -- more likely to return capital in -- at the end of 2015 than retain the capital that we have in some of our vehicles. It’s at our option to return capital at year-end.
Josh Shanker: Okay, thank you.
Kevin O’Donnell: Yeah.
Operator: Thank you. Our next question comes from the line of Kai Pan with Morgan Stanley.
Kai Pan: Good morning. And thank you. First question on the reserve release. It looks like it’s a large number for the quarter. Trying to understand a bit more about is that part from that legacy Platinum book or from the actual run rate book? I know now it’s a single entity now. I just wonder have you integrated the reserve practice on the same line now. And also on that, on the same line of question, just wonder if this quarter is one of true up or is kind of like the normal ongoing practice? On top of that, another question the reserve is really are there any seasonality in terms of your reserve study? Because last two fourth quarters you have relative higher level releases than the first three quarters in the past two years.
Jeff Kelly: Yeah thanks, Kai. So there were no unusual reserving practice changes during the quarter. It was normal course for our analysis for the reserves in each of our segments. I think as relates to the Platinum book we don’t have those -- I don’t have those numbers right in front of me in terms of what came from which book we’re really trying not to look at it that way. But I think what the way I would say it is that the reserve releases in the specialty segment in particular did come so there was the $10 million that related to the multi-year reinsurance contract rewrite that I referenced in my prepared remarks. Another $28 million related to our casualty business lines, I think it’d be fair to assume that some of that was certainly our legacy Platinum book. But overall, we saw reserve releases across all areas of the book. And that reinforces our view that our assessment of the reserve adequacy at Platinum then and now remains sound.
Kai Pan - Morgan Stanley: And in terms of seasonality?
Jeff Kelly: Seasonality, no there is no seasonality in the releases per se. We will try and do a deep dive no our on some of our reserves on a quarterly basis and we’ll look to do that particularly in the specialty classes as you said that usually a first quarter event.
Kai Pan - Morgan Stanley: Okay that's great. Second question probably for Kevin. You talk about $100 million organic growth since the combination of the two companies. I just wonder where are you finding opportunities, given the sort of maybe a stronger casualty and specialty franchise now.
Kevin O’Donnell: Yeah I think we’re definitely finding growth opportunities because of the Platinum acquisition we've brought on a team of great underwriters and added it to the already strong team that we had. The growth is really coming from kind of broader participation with existing customers, and we're getting established on existing programs. A lot of that leverage the relationships that we had with these customers for a long time from the property cat perspective. The other area of growth that I highlight is really with the Platinum customers. We have a broader risk appetite. Quite specifically we can add cat to deals where Platinum was more reluctant to add cat. So it’s that good opportunity with the existing Platinum Group as well. The lines that I would specifically point to is having where we have had the most success is really professional lines. Some of the mortgage risks that’s coming to the market some credit risk. And then some niche areas like reps and warranties and things like that. So it’s a pretty broad spread and certainly leveraging relationships of people that we have.
Kai Pan: So those are the areas that you already have expertise in rather than like the new areas that you’d try to grow into?
Kevin O’Donnell: Yeah I think in every line that we write we have expertise, so we wouldn’t enter a line without understanding it. And I think the lines that I highlighted are the lines that we’ve been in for a while. But we’re certainly looking at new lines as well.
Kai Pan: Okay, that’s great. My last question on this, or just wanted your thoughts on the expense structure. Where in, sort of in terms of pricing downturn for reinsurance, there are two schools of thought there. One is that company need to cut expense in order to better compete and also they can either throw organic cutting where it goes a merge acquisition and then the cost synergy. The other school of thought is that we need to keep our best underwriting talents even in a down market because that’s a source of earnings over the cycle. I just wonder, given your current expense structure now, are you comfortable with it or if the pricing environment continued to be dragging on for quite a while, are you seeing opportunities to realign your expense structure? Thanks.
Kevin O’Donnell: Sure. Yeah I think expenses is always an area of focus for any company, but we are comfortable with the expense structure that we have. I think an interesting way to highlight it is just looking at Lloyd’s. Lloyd’s is a platform that we think we can continue to grow without a commensurate increase in expenses, but just looking at this quarter alone we made the trade to allow our expense ratio to take up because we saw opportunities to improve the portfolio by adding ceded. So we will always default to constructing an optimal portfolio knowing that we have an expense structure that is efficient.
Jeff Kelly: And the other thing I’d add to that Kai is we do think our expense structure is certainly levergable as well and that by adding Platinum’s premium onto our expense structure and then the net expenses we anticipate adding as a result of Platinum acquisition probably the marginal operating expense ratio on our premium was probably high-single digit. So we think that it’s probably the most profitable way or the easiest way to manage expenses by leveraging what we built. But Kevin is right, I mean we take a look at our expenses and we try and keep them under tighter control as we can through time.
Kai Pan: Great, well thank you so much for all the answers.
Kevin O’Donnell: Thanks, Kai.
Operator: Thank you. Your next question comes from the line of Jay Cohen with Bank of America Merrill Lynch
Jay Cohen: Yes, thank you. Just a couple questions on the Lloyd’s segment. The acquisition expense ratio has been trending higher. You had mentioned you’re ceding more. Is this some sort of ceding commission that offsets it? I guess I was surprised that it’s popped up simply because you are ceding more.
Jeff Kelly: Yeah I think it really tends to do with more of the business mix that’s being written Jay that that tends to have higher commissions associated with it.
Jay Cohen : Okay. And then on the accident year loss ratio for this unit, it really, it jumps all over the place and obviously there is events that happen or don’t happen in a particular quarter. Do you look at this last quarter and say that gee, that’s roughly a normalized number, or is it inflated or is that better than you might expect?
Kevin O’Donnell: It’s a little bit inflated just by couple of the events that we noted and I think would actually be quite a bit lower where it not for those events. So we do not view it as terribly -- I wouldn’t say that we -- I would say as I said that we view the couple of events that we booked in there, one was the Tianjin loss that related to Tianjin explosions and we also took the reserve for the Volkswagen issues that are ongoing.
Jay Cohen: So maybe your average for the past couple of years might be a reasonable number to start with?
Kevin O’Donnell: I think it’s always good to look at longer yeah longer periods of time.
Jay Cohen : Great, thanks so much.
Operator: Your next question comes from the line of Brian Meredith with UBS.
Brian Meredith: Yes, thanks. Couple of questions here. First Jeff, on the guidance on managed cat, premium going down 5%, when I think of that, since you’re -- I think sounds like you’re planning on reducing DaVinci here, should I expect the DaVinci cat premium to be down more than the Wren cat premium so more business focused at Wren?
Jeff Kelly: No, Brian I think maybe misinterpreted the return at DV capital, the return at DV Capital is essentially returning the capital that’s been earned over the course of 2015 which is our normal practice . We don’t have any current plans to reduce the size of it.
Brian Meredith: Okay, great. And then second question, I’m just curious, Jeff, on the private equity in the quarter, the loss, I know you are one of the few companies that actually estimates it for the current period. What are the specific areas that you kind of estimated you’re going to have the biggest declines within your portfolio?
Jeff Kelly: I don’t have those right in front of me. You’re right though that we do estimate or trying to estimate them on a current quarter basis. I just say that the decline in the private equity valuation was roughly in line with the decline in the public market, equity market indexes. So our process for doing that as we take estimates from each of our managers as best we can over the quarter. They are estimates there is always true ups. The strips tend to be small though that are generally made in the following quarter. But I -- we certainly wouldn’t want to promise anything, but I would and certainly anticipate that our private equity valuations are somewhat mirroring the changes in the public equity markets.
Brian Meredith: Great, thanks. And then one for Kevin. Kevin, the MI business sounds like it’s you’re saying a good area for potential growth opportunities. Wondering if you could talk a little bit more about that, and are you guys participating in the stacker transactions and those types of transactions, and what is your outlook there longer term, not necessarily for 2016? And then also just quickly, how do you account for those if you are participating in those deals?
Kevin O’Donnell: Okay. We are participating -- actually we’re focused on participating on the indemnity product. We do have a little bit of the capital markets GSE product as well, but that’s not our focus. We’re straight quarters here aggregate excess of loss within the mortgage business. We focus on many elements of it including trying to manage the tenure of the deals and recognize mortgage risk tends to improve overtime, but we also want to manage the aggregations. So we’re looking at it as on a nightly basis, and then we’re also forecasting three years out to understand what our overall exposure is to the mortgage business. We think that it’s there is good opportunity there and it’s an opportunity that believe we have a leadership position going into 2016 and see a lot of opportunity. The other area that we have advantage is that we are an owner of Assent which is a mortgage insurer and with that we have great understanding of the primary mortgage business and also exposure coming in through the Venture's Group through our ownership of Assent.
Brian Meredith: Great, thank you.
Kevin O’Donnell: Thanks.
Operator: Thank you. Your next question comes from the line of Ian Gutterman with Balyasny.
Ian Gutterman: Hi, thank you. First on the (inaudible), I guess I never thought to ask this, but as I recall the way they approached casualty was more of a generalist mindset as far as underwriters, right? They were sort of less siloed and people would write multiple lines rather than just one expertise. Is that how you've kept it or have you gone to a more a specialist-type view on writing new casualty business?
Kevin O’Donnell: It’s a little of both to be honest where we have a lot journalists who can write across many casualty lines, but there are some specific expertise more niche areas like A&H even mortgage and credit lines where we have more dedicated resources. We like having the blend so that we have the deep expertise in the given line, but also if we don’t have an underwriting feeling obligated they must write the line that they’re in. When we talk about journalist I think what we’re really thinking of is we’re not looking for an individual good risk in a bad market we’re trying to find the best -- trying to find good markets and then go through those good markets and find the best executers in those good markets. So it’s not that we’re coming trying to be an index player we’re very much finding the good markets finding the best players and not really looking for the one good player in a bad market.
Ian Gutterman: Got it, and is Lloyd’s similar or just because of the structure of Lloyd’s it’s more necessary to have specific specialist?
Kevin O’Donnell: That’s a great question. Lloyd’s is a little bit more specialized from an underwriting perspective. Part of that is the process in which you enter new lines within the Lloyd’s franchise. But again we try to train people broadly so that if they’re the line that they’re in is no longer producing returns we can move then to other areas.
Ian Gutterman: Got it. That’s very helpful, actually. And then just a couple of numbers things for Jeff. I think a lot of the Lloyd’s was covered, maybe just to sum up. Is there sort of a view, I know you’ve been hesitant to give specific numbers, but maybe even just directionally sort of what a long-term expense ratio should be for you guys at Lloyd's? I mean, should it start with a 3 or is it going to be hard to get that far?
Jeff Kelly: Well I think the answer to the question, yeah I think it will be hard to get to an expense ratio that start with a 3 anytime soon. The way we view the profitability overall though is we’re very happy with the way that platform has come together. We anticipated it would take a fair amount of time to build it to a level of consistent profitability, but it is at a level that is at this point contributing to the overall corporation’s profitability. And so we continue to be pleased with where we are and certainly look forward to that being a more profitable unit in the future. As we’ve said, I do think that the one where we are right now with the Lloyd’s platform we do have the capability to write significantly more premium on the current expense base it should the opportunity present itself. So I do think that what we’re likely to see going forward is premiums rising much faster than expenses. So we should see a continued decline in the expense ratio over a period of time. But terms are getting to when it starts with the 3 that probably take some time.
Ian Gutterman: Got it, that makes sense. And just lastly on the specialty side, can you maybe just go into a little bit more detail? I know it’s spelled out in the press release, but just that restructuring of that one treaty. I was just trying to understand better what exactly happened there and sort of why, it seemed things I guess moved in different directions, right? It maybe helped premium, but also helped losses, just I couldn’t figure that out.
Jeff Kelly: Yeah so this was a cancellation of rewrite of a specific contract in the quarter, it was done at the request of the cedant and was really driven by some regulatory changes which allowed the cedant to get more capital relief for their reinsurance purchase. As the contract was restructured we also expanded it as a bit and during that process the reserve releases I talked about was really just a true up with the loss estimates of the ceding, which resulted in the reduction and losses that resolved in the $10 million favorable development as I mentioned. It does have -- there is a lot of moving parts in it with respect to the impact on the various lines. There is a profit commission that we had to reimburse the cedant for as well. So that played into it, we’d be happy to walk through the specific line items that were affected. But overall during the quarter as I think I mentioned in my prepared remarks and was probably in the press release. The overall impact of the rewrite in the quarter was reasonably small.
Ian Gutterman: Got it. Yeah, Got it. Okay. Yes, I’ll follow up with Rohan [ph] just to, so I can do my model up a little bit better. Okay, that’s all I had. Thank you.
Operator: Thank you. And your last question comes from the line of Michael Nannizzi with Goldman Sachs.
Michael Nannizzi: Thanks so much. Appreciate it. Just wanted to pick up maybe a little bit on the Lloyd’s question. How should we think about that? I mean, it seems like there a desire to build scale and to kind of leverage that part of the platform. But that seems a little different from how you’ve approached the building of your cat book, for example. And since Lloyd’s is pretty competitive, it would seem that there should be some sort of a new business discount if you’re going there and you’re really, you’re growing at double-digit rates. How should we think about that? I mean is it because of the desire to diversify that maybe you're sort of profit bogey is a little bit lower or is it because of capital efficiencies between that and the rest of your book that you’re comfortable running that business at a level that may be on a standalone basis you might not otherwise? Thanks.
Kevin O’Donnell: Sure, let me just start that. A lot of the negative news about Lloyd’s and the competitiveness within Lloyd’s is really around couple of insurance lines. Specifically I’d say motor, marine, energy and even life. And we’re not focused on any of those lines. The growth that we’re getting in Lloyd’s is really coming from I’ll highlight two things, which is customers with which we’ve had long relationships and we’re delivering long products. And then other customers that are underwriters have known for a long time but maybe new to to RenRe and we’re having success bringing those online. We’re not achieving growth by sitting at the box and taking business as presented. I think the thresholds for profitability within Lloyd’s are thought of the same as we do across the other casualty and specialty classes that we have. The infrastructure there is still ahead of the premium. So as Jeff commented we can continue to grow through 2016 and enjoy greater premium growth and expense growth, so things should improve. And then the final thing I’ll say the one of the things highlight in the quarter about two things I’ll highlight in the quarter for Lloyd’s is the losses, but secondly the expense ratio which is up because of a denominator issue where we’ve ceded more premium to optimize the portfolio. So we’ve got an uptake in the ceded sorry in the expense ratio because of that. So it’s really a combination of that, but there is nothing I would point to saying that we have a different threshold of acceptable returns within the Lloyd’s platform than we do elsewhere within the organization.
Michael Nannizzi : Got it. Great. That’s really helpful. Thank you. And then and I guess picking up on a point you made upfront, Kevin, you were sort of talking about this period being unusually benign in that returns it’s unreasonable to expect that, whether normal or actual or modeled returns to remain at these levels that we've seen. How much of an impact, if you were to kind of look at your results so far, your 11% ROE, how much of a tailwind to that number has been lack of sort of normalized activity?
Kevin O’Donnell: That’s a great question, actually we just dissect the quarter. It wasn’t a low cat quarter where we have the Tianjin loss, we had those losses that Jeff highlighted within the Lloyd’s segment. it was simply a hurricane free quarter, Back in the quarter, again, which was discussed on the call private equity hit that we took which I think on an annualized basis is about 2% ROE.
Michael Nannizzi : Right, yeah fair definitely.
Kevin O’Donnell: Investments generally but that’s effecting everybody. And finally it is a soft market. So I don’t think I would point to the lack of a hurricane is being the driver for this quarter. I think there is a lot of things that affected the quarter. So wouldn’t necessarily extrapolated for it just recognizing that this quarter looked different than other quarters, but wasn’t a loss free cat quarter simply it was loss it was a hurricane free cat quarter.
Michael Nannizzi: Got it, okay great thank you.
Kevin O’Donnell: Yeah appreciate it Mike.
Operator: Thank you. You have one more question from the line of Sarah Dewitt with JP Morgan.
Sarah Dewitt: Hi good morning. Just following up on the last question just to clarify, so does that mean you would characterize this quarter as sort of being in the middle of the bell curve?
Kevin O’Donnell: No I wouldn’t. I was trying to highlight that there was each quarter is kind of unique. I think when we think about the elements that we can control and the elements that we can’t we try to construct the best portfolio that we can. I think the overall thinking within the property cat we were within that book it was one that I wouldn’t highlight whether as the point I was highlight it wasn’t a cat free quarter, which I think is some of the way we discussed the quarter in the third quarter of last year. It was this quarter is one that has cat just not hurricanes. So I wouldn’t characterize that as any point on the bell curve. I would just categorize it as there is a lot of unique elements affecting the quarter as we have with most quarters.
Sarah Dewitt: Okay, great thank. And then could you just talk about your appetite for M&A? Are there any lines of business or geographies where you think it might be more attractive to grow inorganically similar to what you did with the Platinum acquisition?
Kevin O’Donnell: I feel really good at where we are and I think we have all the elements resonate within RenaissanceRe to further our strategy. Should a great target become available, I think we would certainly look at it, but there is certainly no need for us to look beyond the four walls of RenRe for anything to complete the objectives that we have in 2016.
Sarah Dewitt: Great, thank you and congrats on a good quarter.
Kevin O’Donnell: Thanks, Sarah.
Operator: At this time there are no further questions. I would like to turn the call back over to Mr. Kevin O'Donnell for closing remarks.
Kevin O’Donnell: Thank you everyone for participating on the call. I sit we are looking at the challenges that 2016 are sure to present. And I can’t think of a better team that I would rather face those challenges with or I can’t think of a better platform to compete from. And with that I’d like to say thank you and look forward to speaking to you next quarter. Bye.
Operator: Ladies and gentlemen this does conclude today's conference call. You may now disconnect your lines.